Santiago Donato: Good afternoon, everyone. I'm Santiago Donato, Investor Relations Officer of IRSA, and I welcome you to the Fiscal Year '25 Results Conference Call. First of all, I would like to remind you that both audio and a slide show may be accessed through company's Investor Relations website at www.irsa.com.ar by clicking on the banner webcast link. The following presentation and the earnings release are also available for download on the company website. After management remarks, there will be a question-and-answer session for analysts and investors. If you want to make a question, please use the chat. Before we begin, I would like to remind you that this call is being recorded, and the information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Eduardo Elsztain, CEO.
Eduardo Elsztain: Thank you so much. Good afternoon, everybody -- everyone, and thank you for joining us today. We are closing fiscal year 2025 with strong progress and important milestones for IRSA. First, we delivered a net gain of ARS 196 billion compared to a significant loss in the previous year. Second, our Shopping Malls show a solid recovery with adjusted EBITDA growing by 10% year-over-year. Third point, we express our Malls portfolio through acquisition and developments, including Terrazas de Mayo, that's one we acquired from Carrefour, the adjoining piece land of Alto Avellaneda, which is 8 hectares next to our shopping and the launch of a shopping center in La Plata, which has no shop in that city. Four, regarding the Office segment, rents remained stable and occupancy of our premium portfolio reached almost 100%. Hotels were challenging by the appreciation of the Argentine peso against the U.S. dollar and registered lower revenues and occupancy. Five, we also achieved significant progress in Ramblas del Plata with 13 transactions completed, including cash sales and swaps totaling approximately 111,000 sellable square meters. That's a big, big change for an asset that was in the company for more than 28 years. Six, on the financial side, we successfully returned to the international capital market after nearly a decade issuing $300 million in a Series XXIV notes with a 10-year tenure and executing the exchange of Series XIV notes. And seven, we distribute an 8% dividend during this fiscal year and treasury shares equivalent to 3.6% of our capital stocks. These achievements demonstrate IRSA resilience and our continued focus on creating long-term value for our shareholders. Now I will leave you with the team to guide you through the presentation and the details of all the whole year, which has been a very special year. Thank you.
Santiago Donato: Thank you, Eduardo. Moving to the following page. Here, we can see the Shopping Malls performance. They continued their recovery process and observed very good results in the fourth quarter of fiscal year '25. Tenant sales grew by 3.2%, compared to the same quarter in 2024 and ended the fiscal year a little bit below inflation, just 2.8% below due to the quarter performance during the first half of the fiscal year, but then EBITDA and revenues in the segment grew by 10% and 8%, respectively, in fiscal year '25 compared to 2024 as we have a big part of the revenues linked directly to inflation. The stock increased due to the incorporation of Terrazas de Mayo that Jorge Cruces will explain later, adding almost 34,000 square meters to the portfolio and reaching a little bit more than 370,000 square meters of GLA. Occupancy remained at very, very high levels, close to 98%. This excludes Terrazas de Mayo, as we have recently acquired it, and we expect to improve its occupancy during -- in the upcoming months. In fact, we bought it with an 81% occupancy and currently is at levels of 89% Terrazas de Mayo. In Page #4, here we have the Office segment. This segment remained quite stable. We sold a floor, an additional floor of Della Paolera so we have today a stock 58,000 square meters. Then rents remains quite stable in levels of $25 per square meter per month, and occupancy was reached almost full occupancy in our premium portfolio at almost 100%, 99.6%. Moving to the Hotel. The Hotel segment has represented the challenge this year after 2 years of record EBITDA and occupancy. The tourism activity in Argentina faced this year a situation of lower inflow of international tourism in the country due to the FX appreciation of the peso compared to the dollar. So occupancy decreased from levels of 66%, 2 years ago to levels of 60% -- 61% and rates per room also adjusted a little bit, and we observed lower margins in this segment. Here, we have -- I mean, the ESG progress during the year. We made a lot of progress on our ESG agenda during this fiscal year '25. Today, over 90% of our malls are transitioned to LED lighting, and we have the solar panels in 3 additional malls, Alto Palermo, Dot and Distrito Arcos in addition to Mendoza Plaza. This is still incipient in our portfolio, but if conditions allow the plan is to increase our exposure to renewable energy in our malls. We also completed our third carbon balance measurement, and we are currently working on mitigation plans and a climate risk metric to guide future actions in our malls and offices. 80% of our balance -- carbon balance comes from electricity. So it's a Scope 2, and we are working very, very hard in mitigating that measurement. On the social front, remember that we own. We have a very -- an old from 1996 foundation called IRSA Foundation together with directly and through Fundacion. This year, IRSA invested like ARS 500 million in different type of actions benefiting like 70,000 people. We also have a contact center serving more than 400,000 customers in our malls. So reinforcing inclusion through different certifications and programs. So these are good milestones that reflects our focus on sustainability and long-term value creation. I will now turn to Jorge Cruces, CIO of the company, for the projects of the year.
Jorge Cruces: Thank you, Santiago, good morning, everybody. Well, we started our fiscal year with 336,000 square meters of GLA, having 15 shopping centers. In December, we bought our 16th shopping center, Terrazas de Mayo which added 34,000 square meters more to our portfolio, reaching 371,000 square meters. The acquisition of the plot next to Alto Avellaneda mall increased another 32,700 square meters. We are developing La Plata shopping mall amplifying another 22,000 square meters of GLA. By the way, we estimate its opening for May 2027. Altogether, the growth adds up to 426,000 square meters of GLA, boosting 27% our portfolio. There's also been strong real estate activity on the residential development side. Del Plata Building Trust, located in the heart of the theater district of Buenos Aires, kind of like the Broadway of Buenos Aires, this development has 720 residential units in 8 retail spaces, altogether, 35,000 square meters of sellable area. To date, we've sold 76 units for $11.4 million at an average price above of $4,000 per square meters. Most of the trusters are not selling yet. Some of them even want to keep the apartment for themselves. As for the construction phase, we are currently running tenders for demolition, concrete structure, masonry and basin level installations. Nuevo Quilmes II, we own 124 single-family lots, to date 41 lots have been sold for $6.3 million at an average price of $247 per square meter. We expect that the infrastructure will be completed by next summer. Coto Abasto towers, the project is located across the street, Abasto shopping mall. We've sold 8 units for $1.1 million. The average price sale is currently around $2,600 per square meter. The handover of these units is planned for the next couple of weeks. Actually, we started yesterday. Ramblas del Plata, is one of the most outstanding real estate developments ever undertaken in the City of Buenos Aires, set in a premium location right next to Puerto Madero. Given the strong interest in the project, we decided to expand the initial sales stage from 14 lots to 20, meaning stage 1 plus now covers around 164,000 sellable square meters. We sold 2 lots A#2 and A#13, both with approximately 45,000 sellable square meters. The total transaction value was $30.5 million. Additionally, we swapped 11 lots, totaling approximately [ 6,500 ] sellable square meters. -- with a total value of $50.6 million. The combined value of these deals stands at $81 million covering [ 110,000 ] sellable square meters to be developed. Now I'll give the floor to our CFO, Matias Gaivironsky. Thank you.
Matias Gaivironsky: Thank you, Jorge. Going to page 11. So here we can see the some information about our stake in Banco Hipotecario. IRSA has a 29% stake in the bank. So the main milestone for the year for the bank, there was a reduction in the ratios, basically because of lower margins in the financial area, the interest rate and the gaps today are much lower than the year ago. So that are generating a reduction in the ratios. The results to IRSA reflect that. So that year, Banco Hipotecario contributed with ARS 40.8 billion to IRSA, this year is ARS 13.6 billion. The ratios are in good -- the solvency ratios and NPL are in good shape. And something important was that Banco Hipotecario started to distribute dividends. Last year distributed, was -- the part of IRSA was ARS 13 billion. This year IRSA will receive ARS 18 billion from the bank. This was for the first time in many years that bank paid 2 year in a row dividends. Also important to mention that Banco Hipotecario was the first Argentinian bank to restore the mortgage loans in the country. And after that, many other banks also started to provide mortgages. Remember that Banco Hipotecario has around 2% market share of the banking industry. And in this market, we are one of the leaders and the market share is 4%. Going to our financial results. So we can see that during the year, we finished the -- with a net income of ARS 196 billion compared with a loss last year of ARS 32 billion. There are some effects in different lines. The main line is -- line 4, the change in the fair value of our investment properties. During the year, there was an appreciation of the peso and also there was a big reduction in the Blue Chip Swap Exchange Rate. Remember that we value the offices and the land bank at the Blue Chip Swap. And since we saw an appreciation in real time -- in real term, of that exchange rate, we posted significant losses regarding both offices and land bank. But when we also include the shopping malls, there was also almost a flat results in that line, only ARS 2.5 billion reduction against ARS 488 billion last year. About the shopping malls, we increased valuation because we are performing a DCF model where the cost of capital released in Argentina and also the performance of shopping malls were much better than previous year. The combination of the 2 drivers generate an appreciation of the Malls in dollar terms of almost ARS 500 million. So today, our malls in our books are valued at ARS 1.2 billion -- $1.2 billion that in terms of ratios, it's more or less 7.5x EBITDA. And the other important effects are in the line 10, the income tax and in line 9, the net financial results that we can see in the following pages. The next one entering more detail about the adjusted EBITDA. As Santi mentioned, there was a very good performance in our shopping malls, increasing 10% in real terms against last year. This is in pesos and a reduction in Offices and in Hotels. The Hotel segment is the most affected because of the current macro situation and an increasing cost in pesos term adjusted by inflation with a rate in dollars that was flat during the year and some reduction in occupancy. The Office segment remained stable. We have today a smaller portfolio of 58, 000 square meters that is fully occupied with a stable tariff in dollar terms. But when we compare with the previous year, that inflation was higher than the valuation. And since this year, we sold a floor in one of our office buildings. That is the reduction that business remained stable. In terms of margins, you can see an improvement in shopping malls, a little reduction in offices and the hotels that there we have a big impact this year. About the net financial results. There was a reduction in the numbers, but still positive that line. Part is generated by appreciation of the peso part is generated by the valuation of our liquidity and the investment of our liquidity and the inflation adjustment. And about taxes, this year, IRSA started to pay taxes again. We used to have a tax credit during the last years. There was that we already consumed all the tax credit and now we will start to pay cash component this year. With all this, we finished the year with this profit of ARS 196 billion. Here, we can see information in dollar terms and evolution of our rental EBITDA for the last 10 years. So leaving aside the pandemic that was a crisis for the company ever. We can see the resiliency in dollar terms, no matter the context of Argentina and the volatility of Argentina we were able to maintain good levels of cash generation in dollar terms in all the years. This year, especially, we had a record in the Shopping Malls, $169 million generated from the Shopping Mall segment that is record for the last 10 years. About our debt structure. We believe that we have a very healthy debt position today with only $184 million of net debt in terms of ratio, this is 1x EBITDA or 8% of our assets or 12% of coverage ratios are very, very conservative. So we are ready to grow and to increase our debt if we find good opportunities to acquire or to develop interest projects. So our debt today is very well structured and long-term spread about the next 10 years. So the duration, we extend the tenure significantly with the issuance that we did in March, extending the debt for the next 10 years. So with this, we finished the formal presentation. Now we open the line to receive your questions.
Santiago Donato: [Operator Instructions] We have a question from BTG says that with inflation coming down and early signs of mortgage market reemerging in Argentina, how do you see this impacting demand for residential projects and your broader land bank monetization strategy? And on the supply side, how do you see the construction activity responding in the upcoming months? I will repeat the question. With inflation coming down and early signs of mortgage market remerging in Argentina, how do you see this impacting demand for residential projects and your broader land bank monetization strategy? And on the supply side, how do you see construction activity responding in the coming months?
Jorge Cruces: Well, we've been talking about this last, I don't know, 6 months that, obviously, with mortgages, the stock of apartments in Buenos Aires started to move, mostly Buenos Aires, but the whole Argentina has been great these last 6 months and we said there was a lot of activity. Prices even went up 20%, 30%, 50% depending the neighborhoods. Now regarding construction, construction it's a little bit higher because the labor higher in dollars. So in the near future, I suppose it's going to be less construction maybe than last year, but there's still some stock to be sold. So I think the mortgages has helped Argentina to get out of a crisis of stock. There's much more -- there's not much more apartments to be bought that have been invested during these last 10 or 15 years. So I think it's going to be -- from next year, there's going to be a lot of construction and new activity. But nowadays, I think the mortgages had mostly affected what was already in stock and some apartments that were rented were starting to be bought. And I think we're going to have a great year next year.
Eduardo Elsztain: Something else about the mortgage industry, probably what is today missing in the sector that there is probably a lack of funding for the banks. Now the banks are providing mortgages, the demand over the banks is huge. Probably the banks today are limiting the offer because the lack of funding. What is missing is that the securitization market where the banks can sell part of the portfolio in the market. So we believe that there is a normalization in the market and no risk of devaluations and fluctuation of exchange rate and inflation maybe that market will appear, and that is what is today missing to have a real market and a real offer from different players in the market.
Santiago Donato: Another question regarding the electoral climate, how important is for IRSA -- what's going to happen next October? And if we expect some political economic stability in the coming months.
Eduardo Elsztain: I don't know the answer. I hope to know, but we really don't know what will be the outcome of the elections, of course, always an election in Argentina generate uncertainty and volatility. What IRSA has proven during the last, I would say, 30 years is that no matter the context, we have a very resilient business that always the main drivers of volatility in Argentina came from inflation and devaluation. We have assets that are dollar-denominated and our structure of revenues are hedged against the inflation. Having said that, of course, we need an economy that grow and with a sustainable growth. Now of course, this volatility is not good for anyone in terms of taking major decisions. We're going to launch us. We are doing many projects. We need to see a stable economy, but this is for our growth. For our existing portfolio, I will say that we have growth in many different contexts, we are able to manage the company.
Santiago Donato: Here's a question regarding the financing. If we are considering tapping the domestic or international markets to fund projects, how do you see volatility and interest rates in the coming quarters?
Eduardo Elsztain: No, we are not thinking to go to the market with our current capital structure and the cash position of the company and with current plans, as Jorge mentioned, the projects that we already launched, we can fund the operations without the need to go to the market. If we see a good opportunity to acquire something, of course, our capital structure and the net position allow us to increase. But with the organic growth, we don't need to go again to the market in the coming quarters. I'm sorry, and about the interest rates and what is happening about the peso curve today, we hope to see a normalization of that. IRSA today has no debt in pesos, but you know that Argentina during the last 2 months were very volatile in terms of the interest rate. That will affect definitely consumption. If the interest rates remain very high, and the consumer financing disappear that will affect consumption. So we hope to see a normalization of the peso curve after the elections.
Santiago Donato: Here, there is a question regarding the difference in the square meters sold at Ramblas and this is because we have recently made an addendum to one previous transaction, adding $7 million and approximately 5,000 additional square meters. That is something that we can discuss details, but it's just an addendum to a previous transaction. And this is why today, we are showing like 111,000 square meters from swaps and sales in the total Ramblas Del Plata.
Eduardo Elsztain: That was a transaction that was signed for a specific plot of land. And then the buyer decided to change in a better location and better unit. So we received the deal. We charged them difference in price and they paid for that. And now they have a bigger project.
Santiago Donato: Another -- an additional question related to this is how do you see the pace of future sales in Ramblas evolving from here? If we should expect this to maintain or to accelerate at Ramblas. We're going to... No, the commercialization. We're going to start selling plots.
Jorge Cruces: We're doing much faster than we thought we would. So we're very happy. We started by The Bay. The Bay is mostly completed. And now we're -- as I said before, we're going -- it's bigger. We went from 14 to 20 lots. And I think we're going to be -- it's going to continue. I think the developers are going to continue to be buying in Ramblas. We are very interested in having the best developers of Argentina and the region in Ramblas. So I think it's going to happen. I think we are going to be selling all 20 lots in the next 6 months or 8 months, what's left of what we have planned to be sold.
Santiago Donato: Perfect. One that we have already answered.
Jorge Cruces: And prices, I don't know if they ask prices, but we've been -- I think the price that we've been selling, it's almost 800 and something for each sellable square meter. And the swaps, I think they're going to be going up. So the swaps might be close to 30 and the prices should be over 850 for each sellable square meter in the future.
Santiago Donato: Another question regarding Hotels. If we expect to divest our small position there in Hotels, or joining with our partner or what are the expectations there with hotels?
Eduardo Elsztain: Well, we always analyze opportunities if appears in the market. You know that we haven't grew in the Hotel segment for many years now. So we have the portfolio of the 3 hotels. Last year was probably the record high in our history. This year is a little more affected, but we are not growing. And if there is opportunities to sell some of our assets, maybe we will analyze.
Santiago Donato: Questions regarding Manzana 35 project in Caballito, if it is advancing.
Jorge Cruces: Yes. We're planning to launch Manzana 35, one of the towers between March and May next year. It all depends on the elections, the situation of the country next year. But it's most possibly, we're going to launch one of the towers next year between March and May.
Santiago Donato: Questions regarding dividends, are we expecting to pay this year?
Eduardo Elsztain: Yes, we are expecting to pay like last years. We haven't defined yet the final proposals. So we will submit to our shareholders' meeting by the end of the month, the proposal. So we have time until that moment. But yes, the idea is to keep paying the dividends.
Santiago Donato: Some additional questions. Do you plan to build new offices as rental properties, something that the company is thinking today?
Jorge Cruces: Yes, we actually are thinking about that. We are very concentrated at the moment, close to the Dot shopping mall. We already have 2 office buildings. And most possibly next year, we may start construction of more office buildings in the Dot section. At least 1 of the 2 that we have planned, we may start next year construction, adding around 15,000 square meters of GLA.
Santiago Donato: Perfect. Give some minutes more for some additional questions. I have a lot here, then you have my contact details or specific questions, we can go on a follow-up call. You have the IR department contact. But I give some minutes more for any additional questions that you may have. Okay. There is -- there are no more questions, we conclude the Q&A session and the presentation. Thank you very much for joining I hope to see you in the beginning of the first of the fiscal year '26. Thank you very much.
Jorge Cruces: Thank you.
Santiago Donato: Good day, Bye-bye.